Stefan Ranstrand: Good morning, ladies and gentlemen from Asker in Norway. My name is Stefan Ranstrand, I am the President and CEO of the TOMRA Group. Next to me is Espen Gundersen, our CFO. Today we are having the pleasure to report our Third Quarter 2020 Results. Highlights from the quarter: a strong quarter, the best ever both in terms of revenues and earnings. Our revenues for the Group grew with 3% and ended at NOK 2.6 billion. We had an increase in Sorting Solutions, and while a slight down in Collection Solutions, almost flat there. Improving gross margins, good control on operating expenses, together contributed to that earnings grow to NOK 500 million. Cash flow, fairly similar to last year and so that's the result part of it. On the market side, we have seen good stability in Collection Solutions. We still observe uncertainties, COVID-related, in the Sorting Solutions. We will talk more about that shortly. We also given the proxy that the General Assembly have given to the Board of Directors to decide about the dividend. We have also decided, the Board has decided to execute on dividend payment of NOK 2.75 Norwegian per share, which will be paid out in the fourth quarter. Let me go down and talk a little bit about the businesses starting with Collection Solutions. In general, we can say that Collection Solution is predominantly serving the retail market, collecting bottles at retailers, that's the majority of our installations. Across the board, that segment has been very stable. Whilst we have seen people consume less food in restaurants and other food services, people have continued to eat as before and in consequence, they have gone more to retailers. So in many parts of the world retail have experienced an increase in volume and revenues. And also, we have seen in many parts of the world a strong increase in beverage consumption. So these are two elements that contributes to given stability and a good market landscape for Collection Solutions. And if I go down to the geographical markets, Europe has been, I dare to say, very solid and Northern Europe, very strong situation and a more business as usual in Central Europe. North America was affected by the corona situation in a different way. And we have to remember that in North America, we have about 50% of the installed base on what we call throughput lease. I'll come back to that shortly, describing the graph we have above. In Australia which we entered in the last years, we have seen also a small hiccup in the second quarter but that's back to normal and actually we are experiencing slight growth in the region. If I now turn to the graph, which you have on the top left, you can see a dark blue line that represents the European market. So if you look at that over time here, it's a steady business, so really business as usual. And if you're going to the light blue one, that is representing North America. As I said, about 50% of the installed base is on throughput lease here, meaning that we own, we install equipment and we get paid for every time the machine is utilized. In other words, every time a bottle is being returned. In many parts of North America due to corona virus, regulators close down, forced us to close down the redemption centers where we have our machines and consequently people could not return the bottles and cans. When that was opening up again, which we saw then in - still in the second quarter, we could see a slight above normal volume. And that is probably the result of the people had stored bottles in garages and storage spaces, and then wanted to return them. But we see that in the totality, and especially if we think of many consumers living in smaller apartments, in cities like New York City, they don't have that opportunity. So these volumes have been lost into other waste streams. After it's all normalized, we are now more or less on the same level as last year. So again back to a normal situation. Australia also had a dip, very short one, we can see here, and not such a wide outbreak of the corona but definitely, we saw the results. And afterwards it's returned to normal and the normal for Australia is a slight growth year-on-year since we are still in a buildup phase there. So that is the situation. We can learn from this, we can see that we were able to address the situation. Actually the team has done a fantastic job in that regard, I would like to address the TOMRA culture and TOMRA people, I'm very proud of them. So they have addressed that very nicely and we are back to normal here. However, we should also remember that, would we have another serious corona outbreak and regulators imposing close downs, we will see more effect. So that's an uncertainty which goes with us going forward. But we are ready to handle situation, we have learned from the first outbreak. So I think we would definitely be in good position to handle it going forward as well. Then I would like to talk about some new markets. I'm very proud to announce that on the 1st of October, we went live in Western Australia. Until now, we have had installations in - recent installations in New South Wales and Queensland, and now Western Australia also open up the system. It was a bit of a challenge, because we had planned to have people from the more experienced markets like in New South Wales traveling over to Western Australia to support in the buildup. That was partly not possible because of the travel restrictions. So we really had to do it with a local team and with remote assistance. And they made a fantastic job, on the day, all our installations, it's only five installations. It's a smaller market and we got a smaller share of that market, which we have communicated earlier. But they were flawless, making us very, very proud. The team has done a fantastic job there. And we were, again as TOMRA demonstrating quality, capability and execution power. We stood out in that regard. And we got a lot of positive feedback for that successful launch. So we are up and running now, in also Western Australia, that's really a good development for us. Further to that, we can note that the Netherlands, which have been working on the deposit extension, have decided that they will also include small plastic bottles into the system that has been announced before, and we expect that system to go live - that expansion to go live July 2021. So in consequence, we are now a little bit in a wait and see situation to see how that will execute, how the retailers will implement such a system expansion. But we are well positioned in there, we have a local team since years with sales and service, even some local manufacturing, so we are very well positioned to serve the market. And we are looking forward eagerly to do so. Also a small addition but every addition is meaningful and this one in particular. It's Latvia; it's geographically close to Estonia and Lithuania where we are since years. So this market is expected to go live February 2022. And it's a smaller market but still I think we are very keen to serve that opportunity as well. So that is now under development. And I think in some Collection Solution, we - I see it as business as usual, really going through the corona situation. And given that Collection Solution stands for a round number, 50% of TOMRA's revenue and TOMRA's business, it's a very good foundation for us as a group to have this stability and support for our overall business. Going forward, talking about Food, and we are active in we say - we call it, we have labeled it into two areas. One is the processed sector where food is being processed into French fries and other type of processed food. That's quite a big part of the food portfolio. And then we have the fresh sector where we work with fresh fruit, berries and different categories like that. We have experienced good momentum in the fresh food sector with growth in the year and continuous good market outlook. Whilst the processed food have been a bit challenged, and still is, and very much due to the situation that our biggest market, North America and Europe are challenged in the food service sector, we call it the HORECA, hotel, restaurant catering. And in United States of America, that sector makes up about 50% of revenues, whilst in Europe it makes up to about 40% of the total food consumption, so to say, or food spent. So when these sectors are struggling, consequently, the industry is struggling. And there is an uncertainty for sure in the industry. I'm confident that we have been able to, at the minimum, maintain our market position in this period, and maybe outgrow the market slightly in fresh food. I don't have hard evidence for that, but the indicators are there. So the Food has shown good stability, good resilience. But again, we have a sector of processed and that also gives a bit of a cautiousness when we think ahead of order intake, we like to just remain cautious in that side. We have experienced good revenues growth and earnings growth in Food in this quarter. But Espen will come back and talk about the numbers later on. But we are on a good trajectory with our food business. Going over to Recycling and Mining, also here a mixed picture. We have in the recent years experienced a strong growth in both these sectors. But in this year, we have now experienced due to volatility and pricing of commodities, also structural changes in the market, we have experienced bit of an uncertainty. We see still a strong situation, market robustness in the waste sorting and the recycling of high-quality PET. And they make up the majority of our market. So that's good. And whilst we see a slower momentum in the metal recycling, and in mining, and I think predominantly that this is stemming back to the volatility and uncertainty around commodity prices, which clearly affects our customer's business. On the right-hand side, you can see a graph showing the price levels for PET, which is then virgin PET and recycled PET. And you can see since the beginning of 2019, rPET, which we call it, is having a premium in the market. And that clearly comes from the commitment from the brand owners. In this case, I think we can say the beverage industry, that really are working on their plans, their strategies to execute sustainable packaging. They basically want to get hold of every bottle that is recycled and use them for new bottles. And of course that affects TOMRA two-fold, both for the Collection and for the Sorting business. And we don't see that this situation will change. So the more bottles we can collect, the more we will have to sort and the market is there. And there's still a long way to go until we could satisfy the demands in that market. So that's where we are on that. Also worth noting is that European Union are close to finalizing the European Plastic Tax proposal, which is a very important signal from European Union that they want the producers to take responsibility. They want to drive for circularity and they want producers to take responsibility. And it's very sizeable. They are talking about imposing a tax of €800 per ton. And if you didn't think that plastics typically trade, virgin plastics trade at levels between five - €600 per ton up to €1500 per ton, you can recognize that €800 is a massive impact. And we don't know exactly how this would be implemented. So we just want to share the information with you here. But it would definitely send a signal to the industry that the regulators demand them to do something and if they do nothing, there will be costs on the system. And if they, however, are able to recycle, they will get free from this levy. And this is, again, in combination with a Single-Use Plastics Directive, the European Union is really demonstrating strength and a strategic direction where they say, we want a circular economy in Europe. And that is very nice in the eyes of TOMRA. Also very much because we are strategically very well positioned and very determined to position TOMRA as a leader in the circular economy, growing circular economy industry. And as an example for that, last year we actually built up a separate division which we call TOMRA Circular Economy, where we have experts and we are working intensely now on developing solutions and credible business in that area. And we have come quite a good way, but that is something we should talk about more at a later stage. For now, I really like to talk to you a little bit on what we see here in this graph. And that's a recent study made by Pew Charitable Trust and SYSTEMIQ which really demonstrates the situation of plastic and especially focus on the plastic in the ocean. And the study says that they expect a tripling of the plastic into the ocean by 2040 unless we do something about it. So basically going from today's levels of, round number 11 million tons per year ending up in the ocean, up to 30 - 29 million tons by 2040. So there is a critical urgency here to do something. And that's what they're pointing out. And they're also saying that, the present commitments and framework laid out by governments and industry will only contribute to reducing the plastic into the ocean by 7% by 2040. So there is a need to do more. And they say that there's not one single solution that will solve this. You have to work both upstream and downstream to resolve the problem. Further, they say that, sorry, I have to change page here, there are solutions available today that could reduce the flow into the ocean by 80%. So it's possible to do it, but it requires sharp actions and regulations. And maybe we can also link that to we saw what the European Union is doing. They also say that the change is economically viable for government consumers. So it's not a disaster but we have to do drastic changes. And they say reducing approximately 80% of plastic leakage into the ocean will bring life to new circular plastics economy with major opportunities and risks for the industry. So, the recycling here will be a very important element. They also talk about reducing consumption of plastic and there I'm proud also to share with you our newest technical solution where we are now working with a SodaStream company on collecting the gas bottles for their solutions, meaning that people can use the tap water and have carbonated water drinks and other drinks at home. So we are working both on the concept of recycling that's at the core of what we do and that's a significant part of what SYSTEMIQ and Pew are talking about here. But we're also working on concept for how we can reduce the consumption of new plastic bottles. With that, I intend to hand over to Espen and ask you to take the financials.
Espen Gundersen: Thank you, sir. Yes, as always, let's start with currency reporting in the Norwegian krone. In particular, we are exposed to currency fluctuations and we are also this quarter having some tailwind from currencies. The euro is strengthened 8% and the dollar 3% versus same quarter last year. So still positive effect even though not as high as we had in second quarter where it was around 15% positive impact from currencies. The P&L, as Stefan said, stable Collection performance. So it's Sorting that's contributing to the growth to this quarter. Margins are improving, mainly coming from Collection. And as we said during the call for second quarter, we expected flattish, stable development in OpEx and that's also what we're reporting. Currency adjusted, it's slightly down actually versus last year. So it indicates a good cost control. But still we manage to continue to invest when it comes to new initiatives, in particular, the circular economy initiative which is reported on the Group functions and is near where we have the cost increase. But this is offset by cost reductions within the divisions. So to summarize, it's all time high revenues, it's all time high EBITA, first time above half a billion Norwegian krone. And it's also a EBITA margin north of 19%, which we are proud of, so to say, in these times. Looking at Collection. North America, sorry, Northern Europe are doing good. As Stefan said, North America the report is slightly down. The underlying volumes are close to normal. There's some technical change from material recovery were contracted previously was booked as a gross contract. Now it's been a tolling agreement where we only collected the net, so it's just that reduced our revenues around NOK 20 million without any bottom-line effects. NOK 20 million for the quarter so that's - it's minor but explains a little bit why we see slightly lower locked figures and reported figures for North America. Rest of the world is mainly Australia. Australia is slightly up, as Stefan said, some of the markets are report underneath there. Mainly old, refillable markets are slightly down. So currency adjusted is flattish in the rest of the world, so overall a stable business. Due to good cost control, some mix effects, we also have a strong 45% gross margin in the quarter and operating expenses is down. Despite that we continue to invest in what is a ramp up related activities, establish ourselves in new markets where we assume deposit is about to materialize, strengthening the central organization. So round figures we can assume that the 10% of the operating expenses is ramp up related. It's this quarter as been also the previous quarters, bottom line NOK 360 million, 25% EBITA margin. In Sorting, we indicated a 70% percent conversion ratio in this quarter, ended up close to 74%. So it's been a good quarter revenues wise. Food has been up, partly off-set by recycling going slightly down but still in total a positive top line effect. And if we look at geographies, we have growth in all major geographies. Strong gross margin, slight improvement also here and cost control where we have flattish developmental on OpEx when we adjust for currencies and then 17% EBITA margin in the segment. Order situation, the order intake was slightly better than we assumed and communicated. By the end of last quarter, we said that we believe that order intake will probably be somewhat below second quarter and we ended up actually slightly above second quarter, but it's down 15% versus the same quarter last year. We have a broad, healthy backlog. It's versus third quarter '19 in Norwegian krone but flattish currency adjusted. And the conversion ratio, meaning what we believe the revenues will be expressed as a percentage of the order backlog at the end of this quarter is 80% to 85%. As I always say, this is not [guiding], we will never send a profit warning if we are outside, but just indicating here, when installations are assumed to take place based upon what we now see and going into the fourth quarter. Balance sheet, it's growing but it's mainly currency you're seeing. So there is really nothing that stands out specifically here. Looking at what we had one year ago, the total assets is increased with 8% and that's also what the currency has increased. Receivables are higher but that's mainly due to seasonality in U.S. and it will go down during fourth quarter as it has done previous four quarters also. Cash flow from operations, stable from last quarter or second quarter last year, still have a solid balance sheet 50% equity, rather low gearing 0.7 times interest bearing debt on the EBITDA. And as Stefan said, with the current momentum, with the current outlook, with the current performance, with the current balance sheets, liquidity, everything taking into consideration, the Board has decided to pay out NOK 2.75 per share as a dividend with the share going at Monday 26th of October. So it's not going yesterday but on Monday. More financing, we are privileged in the respect that it's easy to get financing, and for that reason we have allowed ourself to have a rather short debt maturity. It's below two years now. That revolver which is expiring next year, €130 million that expires in second and fourth quarter 2021, is about to become short-term debt and it's needed to refinance this one. So we have started the process to replace it with a probably €150 million revolver, three year long and fit in kind of the maturity plan with bonds then in '22 and '24 and under the RCF in '23. This process is assumed to be concluded before year end. And it will add additional unused credit facilities to us compared to where we are today where we are around €1 billion, but of course there will be a dividend payment in October that will negative influence this. But then again, a positive cash flow from fourth quarter will offset most of this. So that's what's happening on the financing side. Segment reporting. We have historically like had one segment in TOMRA and I'm not going back in 15 years to the Collection business, we're talking about reverse vending machines. Then we are quietly tech, went into waste recycling, extracting metals, sorry plastic and paper from waste streams. And it was a start of a journey where CommoDas were acquired going into metal recycling in 2006. And then in 2010, 2011, Odenberg, BEST being food companies, expanding into that segment and adding on top Compaq and BBC in the last three years. So we have a history of forming Sorting through acquisitions, going into the business we made of recycling and food but there's been significant organic growth on top of this. The last 15 years on average, the organic growth in Sorting has been 16%. And Food has, over the years, been a bigger and bigger part of this. And today, it accounts for 60% to 65% of the revenues within the Sorting segment. So the little sister has been the big sister within the sorting family. And Food is now a global organization with more than 1400 employees. We are present in all geographies or all continents and if we include agents, we are present in more than 80 countries now. But to reflect the size and the complexity and to better adjust opportunities, within this segment, Food will be organized as one division. Michel Picandet has been recruited and now heading up this global organization. He is a very experienced manager with broad experience from companies like Tetra Pak and Sidel, and is now a member of the ELT, Executive Leadership Team reporting to Stefan. I don't know, Stefan, do you want to add more into this story? Is it straightforward?
Stefan Ranstrand: Now I think it's very good. You should know that TOMRA has a strategic view on two major end markets. One is the markets we see within the space of circular economy, where we talk about collection and recycling and that's being shaped up personal end market. So right now it's not a market per se, but the way we see things are developing, that would be one of the core areas and therefore we have positioned ourselves both within organization for that. And the whole set up what we do in collaboration, developments, etc. And the second area is Food. And these are two mega-markets, really gigantic markets. We are, number one, in both of them. And in order to remain focused, have the right priorities set, the agility, we see it's very natural to give this transparency but also focus on food. So really nothing changing for us, it's important that we maintain the core strategic elements that we laid out when we built up this sector. That was, we wanted to spearheading technology by being able to have economies of scale, invest more and be a leader in technology in the sorting arena, that will not change. We will still have a core R&D that is combined for the two different divisions, so sorting and recycling, mining and sorting food. And we also leverage the operational side. But all market related activities like a sales service application engineering, these are different and that we recognize and that's really what we want to do here too. Give even more attention and better service to our customers to even strengthen our leading position from today. So that's all I want to add Espen.
Espen Gundersen: Yeah. So, we will then see fourth quarter report with three segments, the Collection business, the Food and the Recycling Mining business and you will also be provided historical information for the last quarters for comparable reasons. So, those of you modeling us will receive a separate spreadsheets close to the release of the fourth quarter report where the old figures are restated Here, going to the outlook statements. We are in a good shape. TOMRA is maybe not the central business but our customers are essential businesses. Food retail, they will be there, people eat and drink. Waste Management, they will be there and the food producers, there will be a need. So the underlying momentum in what we are doing is there and we started the year very good. Just look at the order intake we had in first quarter, both fourth quarter last year and first quarter this year shows that the moment in what we're doing and this is still there. But there are some challenges in regions in segments for periods that the COVID situation is creating. So, this we have seen in second and third quarter and will continue to be there as a distraction as long as we have this situation. But it hits differently in the different areas and a large part of TOMRA is not really much influenced at all, at least we manage to deliver and continue business the way we've done previously. If you're looking down to our divisions, in Collection, its overall business as usual. We have an organization where, for instance, service techs are living close to the machines. You don't need to travel far distances to get there. It's an important machine. Retailers, in general, acknowledge that of the direct shakeout system, the RVM is the most important machine in the store. Don't maintaining this machine, don't reinvesting in it is a short-sighted strategy because your customers will go other places. Meaning the consumers go other places to shop if you don't, continue to have this malfunctioning. So there could be outbreaks of COVID, which is so severe that things can close down as we experienced in Northeast U.S. for a period of time. That is out of our control. But, let's say, for those situation, I think overall the business is as usual in Collection. And in the coming quarters, we will hopefully also see a positive effect from the Dutch expansion as they are moving into or expanding their system, as Stefan told you. Exactly how much and when, is still somewhat uncertain because of the timing of also the, 'can introduction', which is part of the system change down there, which is a little uncertain when and if it materializes. They're going from large bottles to small bottles, that's for sure. That will alone double the volume. And then you have the 'can opportunity' which comes as an additional opportunity on top of this. In Sorting, there will be regional differences. The fresh segment, as Stefan said, is going good and continue to go good, we assume. Still some more challenges in the process segment. But overall, we feel that the momentum is like it has been for the last quarters. And we are optimistic for the opportunities within segment, no doubt about that. And for Recycling/Mining, it's also underlying good momentum, there are areas which have so much more challenges. And that goes for metal mining, mainly which we have fluctuations when it comes to commodity prices and more uncertainty created. PET in particular, is a strong segment still. So we usually don't say so much about expected order intake. Especially be cautious, also this quarter but with the strong comp figure we have for fourth quarter '19, we must assume that the fourth quarter '20 order intake will be lower, the way it looks today because of this some distractions in some areas but nothing dramatic in that respect. I think that concludes the outlook, as always remember currencies, that will influence our performance. But you know how this works. So that's probably not important, it's more time now. Instead, maybe Stefan I understand you have an announcement to make. So maybe you can do that at the end.
Stefan Ranstrand: Yes, thank you, Espen. And I just turned 60. I have now had the privilege to lead TOMRA for the last 10 years. I'm into my 11th year. I'm extremely proud of TOMRA. I think here we have a fantastic crew, team. We have a strong culture. We have been able to execute on almost every opportunity we have been given a chance to do. We have a clear leadership position in everything we do. We are by numbers, facts, by technology, by perception, we are seen as the leader. There is no doubt. We have been able to design a strategy or engineer a strategy that will give TOMRA more opportunities in the future than we have ever experienced. We are embarking on the circular economy, where we have two key elements, two key enablers for the transformation in the collection and the sorting technologies. And you should see that they actually hang together in the value chain. So we also have a good opportunity to capitalize on digital solutions in that space. And we have a very big industry called food, which will go through the whole, what we call Agritech Revolution. And the sorting are critical elements to support our customers in delivering on high productivity, high quality, and also traceability for the consumers, for a supply chain that is getting more and more complex, and is truly globalized. We also see big changes here when it comes to the structures of serving the consumers. We'd have traditionally been going to retail in the future where we see a mix of retail and e-commerce, I'm sure. TOMRA is positioned to capitalize this, on these trends better than any of the competitors. We have also, even during the COVID times, made sure that we have not stopped planning or working on a strategy execution. So we have ring fenced investments in R&D and development, - business development. And we are advanced in artificial intelligence or machine learning. We have a digital platform with big data opportunities. And we have a leading sensor technology platform. So we are set to continue to grow but not everything will come now or even tomorrow, it will grow over time. And I think it's important that we have the right attention, the right focus doing that. So I think for myself, given the fact that I have been serving for a long time, given the fact that I have turned 60, I would like to hand over to a successor in an orderly manner. Given this, I have now communicated with the Board and ask them to find a successor for myself. I will stay on Board until a successor is in place. I have no other obligations or commitments made. So I am totally committed to support TOMRA and support - and it's in my personal interest to make sure TOMRA can continue to thrive in these very attractive market opportunities going forward. And also, I'm very much caring for the people of TOMRA. So with that my - I will do my utmost to support transition, help the Board in any way I can to appoint a new successor, get this person onboarded and making sure that TOMRA can continue on a very attractive path. With that, I think that's what I wanted to have said here. Please, it's my own decision. It is no haste work here, we will do it in a planned fashion. You - I hope you experienced TOMRA as a quality company. We will make sure this is also quality plan and execution around this. And therefore we will see each other again but there is a - such a change planned here. And that's something I would like to communicate to you here. Thank you.
Espen Gundersen: Well said.
Stefan Ranstrand: Well, with that I think we can go over to if there are any questions.
Espen Gundersen: Yeah, Georgiana, do we have question from the audience?
A - Georgiana Radulescu: We will start with a question from Daniel Haugland from ABG. Congratulations on solid numbers in uncertain times. Question: sorting order intake was a bit better than expected in Q3. Outlook is unchanged in text, how should we think about the next coming quarters on order intake. Has momentum changed or is it more on the levels of last two quarters?
Stefan Ranstrand: Yeah, so I don't want to emphasize on any numbers. We are generally trying to be realistic, we want the investor community to find a trust base and transparency in what we do. So for us, the last thing we want to do is to over promise, but also not under promise. Remember, the underlying fundamentals of the markets are there. The need for automation, for retrieving the maximum value out of the commodities that are being processed, being either metals, plastic, or food categories are there. Corona will actually lead to, I'm sure, an acceleration in automation, because it makes the system too vulnerable to be depending on people when you look for maximum hygiene and safety. So in the extension, we will see more automation coming out of learnings we make from the corona. But in the short, in particular, two segments are still challenged. I think the one we have talked to you about is processed food, where the industry, have suffered now due to this dramatic changes in the market behavior. And traditional channels have been dramatically reduced in consumption. And it's very easy, I think, for us all to understand the impact of closedown of hotels and restaurants, etc., they have - that's come down dramatically. Though, when we talk to our largest customers, they are starting to think more positively, they - it's also a fundamental, simple thing that if you have planted trees, like for apples, or nuts, or a bush for berry, when that category or the produce is grown, you need to process it. So there will be a need here coming and it's building up. And also, of course, every year, every day that goes existing machine will be more and more depreciated and that needs to be replaced. So that is not changing. The demand is there. It's the uncertainty and the fluctuation in the market that has affected the situation. So slightly positive on that there will be an improved momentum gradually here over time, maybe not in the fourth quarter, but we do believe that it's building up now. And this we have signals for that. On the sorting side, in recycling and mining, we continue to see good progress, as we said before, in the waste and rPET sector. The commodity price uncertainties and structure changes in the sector, and when I say structure changes, one big example is of course, how the general plastics market has changed, especially since 2018, when China imposed the ban on importing of waste, the so-called national sword. A big - the biggest market in the world for the plastic waste disappeared overnight and of course that has yet to find new take offs. And one way to do it is actually to find circular economy concept to it where you upgrade the material. So we need to remain a little bit cautious on these areas. But it's not dark black here. It is slight positives in the processed food in the horizon here. And we also see a more stable commodity prices in the plastics and metals. So hopefully that will also bring some more speed into the market. But again, that's the intelligence we have we shared with you in this way. And we cannot predict further, in further details on that.
Georgiana Radulescu: Thank you. We continue with two questions on similar topic. So first from Mikkel Nyholtt from Carnegie. What is the main driver behind cost control? And do you envision this to sustain also going forward? Please give us an update on the cost trajectory indication forward? And from Marcela Klang from Handelsbanken, can you talk about your OpEx going forward?
Espen Gundersen: Yeah. And third quarter, we were round figures, flattish, currency adjusted versus last year. This in fourth quarter, you should expect a slight increase but not more than a slight increase, fourth quarter over fourth quarter. Overall, we have a good cost control, elements of this is of course is less traveling. We have additional cost, but we also do some - get some help from governments under different kind of systems that established to help companies around the world, typically lower sales and security tax. Some support on furloughs and so on that helps also companies like TOMRA. You could assume that, round figures, both for second, third and also fourth quarter that we had a positive effect from this type of initiatives around NOK 20 million, of which 40% is hitting the cost line and 60% is hitting the OpEx line. It's a little to say, arbitrary how - what to include and not include of this. But that's to give you a flavor for how that's influencing us also. So overall, I think, as I said, fourth quarter will be very much in line with fourth quarter last year, save maybe for a few percentage point up. That's how it looks to me.
Georgiana Radulescu: So the next question also from Mikkel from Carnegie. What is the sorting situation in South America, difficult to track any stability in revenue? Is it food or recycling that causes the spikes?
Espen Gundersen: It's mainly food and its seasonality, actually we're seeing here because they are in the southern hemisphere. So installations are usually coming upfront for the harvest season, which is done in the first quarter and therefore you see, third and fourth quarter usually have higher. This year, the third quarter was strong. And that's little the timing between third and fourth quarter in that. So that's actually what you're looking at.
Georgiana Radulescu: The next question is from [Philip Kievit Deyonga] and it has three sections. So first section regarding Netherlands, you said small bottle collection could double volumes, but to what extent can you upgrade existing machines or are new machines needed to deal with this? The second part of the question, any update on other new opportunities in collection and sorting? And Stefan, sorry to see you go but all the best.
Espen Gundersen: Well on the Netherlands, you can say that in the say, modern deposit markets, you really usually end up between 2000 and 6000 machines per capita. Netherlands today is somewhere in the middle. But it's a rather old installed base handling the large plastic bottles. And as I said, the introduction of deposit of the small bottles will double that volume and then there is the, can uncertainty, whether that will be included or not to be, which will add additional volume here. And for that reason, retailers will probably look into this and see whether they will upgrade, buy new or buy additional equipment and you will see all three of them. So it's certain that the number of machines per capita will increase in Netherlands. So they probably will be on the high side when this is over and then closer to 2000 and 6000. There are 70 - with more than 70 million citizens in Netherlands so you have to do some assumption around those data points and take it from there, if you will to model this. We are not certain ourself either. So it's hard to be more precise on this also. And also the timing between fourth quarter, first quarter, second quarter, there is more uncertainty. It is much more second and - first and second quarter next year event than a fourth quarter event. Do you have just one more question there?
Georgiana Radulescu: The second part of the question was any updates?
Espen Gundersen: New markets? Yes. Yeah, we pointed out to them. Of course, Scotland has commencement 1st June, 2022. And then we have lot of other projects going on. And the Single Use Plastic Directive is stating targets that different countries have to deliver upon and we will be there when this evolves. And I think we have seen projects move forward in time but also backwards in time. So it's a little, say floating target, but I don't think that any orders we will mention in particular, at the time being which has been significant changes on in Europe. Outside Europe, there are good momentum around the remaining states. In Australia, which also are on different path towards implementing systems like they've done now in New South Wales, in Queensland and Western.
Georgiana Radulescu: Thank you, Espen. On the same topic, we have a question from Knut Erik Løvstad from Kepler Cheuvreux. Is there any change in the preparations in the EU countries related to the introduction of the EU Plastic Directive or any specific development you can comment on? And on the same topic, Marcela Klang from Handelsbanken. When do you expect the deposit system in England, France, but also perhaps Spain and Italy?
Espen Gundersen: Yeah, I think I partly addressed that already.
Stefan Ranstrand: Yeah.
Espen Gundersen: So there is not, really anything big, new to communicate around those, those initiatives.
Stefan Ranstrand: Yeah. I think we have a tradition not to speculate. We build our communication on facts or information we get from authorities. You can rest assured that we are - we have quite - we have invested in quite a big team now to be there and support a team what we call governmental affairs, that's really working with the markets like we did early on in U.K. and Scotland. And we have people in every market more or less in Europe doing precisely that. And but we have experienced that political processes, they are complex and much beyond our control for sure. So and not to mislead, we really communicate what we know and that's it.
Georgiana Radulescu: Thank you, Stefan. The next question from Mikkel Nyholt from Carnegie. Are you still actively pursuing M&A for any of the three divisions? In which could we eventually see something taking place?
Stefan Ranstrand: So we have until now a - yeah, we have a little bit of a legacy that we say that we have a clear strategy, it always starts with that, how can we serve our customers better? How can we grab opportunities better? And that we have, worked on over years to build the position, which we have today and make sure that we can extract the value out of the businesses we have, included in the TOMRA portfolio. And how - make sure that we can deliver more values to the customers than the competition can do. So that's very critical. So it really needs to be done with quality, it's all about, when you acquire something, make sure that you don't destroy, but can build values on that. And that addition can add more value to the customer that in the extension would help TOMRA to become better. So if we look into areas where we would scout, if I say so, for acquisitions, that would be either in geographical context, portfolio extension, where you can say we can serve the customers in a better way than we could before or in technology extensions. And that area, you know is quite big field now, when you think about the new technology developments around the computing, digital or artificial intelligence but also upstream, downstream developments in both food and recycling, mining, sorry, in recycling sector, given the whole circular economy evolution. So probably there would be a need for us going forward to be more active here. In the short, we don't expect anything, especially nothing significant. But I would also say that our willingness to enhance our focus on M&A going forward should increase a little bit. And we have also had the time now to integrate the latest acquisition being Compaq and BBC and they are performing very well. I'm glad to say so. So we are now more ready to look ahead again than we have been in the past, but in the short, don't expect anything coming up.
Georgiana Radulescu: Thank you. The next question also from Mikkel, 2023 target, we are halfway there. Are you more or less confident in meeting this now than what you were back in 2018?
Espen Gundersen: Yeah, of course the COVID create challenges. But I think also that we prove within the report, we just released that that when we have ignition on all cylinders, yeah, this motor is working very well. We are above our financial target on the margin, in this quarter. It's a sum of, of course a good performance in all units, no vacation money, in third quarter. It's kind of an original [Nordic] thing, NOK 15 million maybe NOK 20 million effect that comes every third quarter. But still, it shows that it's possible to do it. But the biggest challenge is within Food that over a year do not meet our expectations on bottom line. And to get to the bottom-line target of 18% EBITA stable over a year, they need to improve. The other units are performing and are above that. So it boils down to the improved performance in food, which we and the team is committed to deliver upon. But there is a way to go to get there.
Georgiana Radulescu: Thanks, Espen. And we have the last question for Stefan, it's from Mikkel. Stefan, what are your plans post TOMRA?
Stefan Ranstrand: Well, actually, I thank you for the question. Presently I have, my focus is to support this transition. How long it takes? I don't know. But I can assess, it can quickly go into a year. It would be very difficult to have any additional discussions in parallel to that. So I'm just refraining from that. I would focus on one thing, and that is TOMRA, for now. And then I will reorient myself to see, what is - what do I aspire to do? I have no clear plans right now. I'm single-minded, it's TOMRA, for now.
Georgiana Radulescu: Thank you.
Espen Gundersen: That was the last question, so I'll just add on that. It is of course regrettable that Stefan will leave us in the not too distant future. And it's never a good time to leave but that said, everything must come to an end. And Stefan has been with us for more than 11 years. And it's been a great journey. And Stefan has led us from around NOK 3.5 billion to NOK 10 billion in revenues. And we are on the dawn of a new era. And we have ambitions to go to NOK 20 billion and NOK 30 billion. And for the time, they will need for a new person at the helm. And maybe this is the time for she or he to join in and also be a part of forming and planning and executing on this growth. So because this is not kind of next year, this is a five-year horizon and even 10-year horizon. All the things that we see in pipeline that we need to deliver upon. The opportunities are there but we need to execute upon them. And then maybe this is the time to get a new person on board also. So as I said, regrettable but I understand also Stefan's decision and please rest assured that there's no kind of controversy around this - the dialogue between management, and management and the Board is a dialogue. Or maybe it's the wrong word to use harmony, it kind of maybe gives the wrong impression, but we have really a transparent, trustworthy dialogues, constructive dialogues exactly the way we want it to be, both between management and the Board and the Board and between the management group, so this is the way of life, things move. I'm happy that we can work with Stefan probably for maybe a year and having a planned succession. I'm looking forward to that. So you will see us next quarter also. So that's I suggest the end of the presentation.
Stefan Ranstrand: Yeah, thank you all for joining. And again, we are pleased with the quarter. I think given the situation with the COVID, I'm very proud about what we can, demonstrate the capability in delivering sound numbers. Good to see that we can make a dividend payout. And we are on track to continue here. So thank you very much and see you soon again.